Operator: Thank you for joining us. We are here to provide a Corporate Update and Report on Thunderbird Entertainment Group Fiscal 2023, Q1 Results, which ended September 30, 2022. Speaking on today's call are, Ms. Jennifer Twiner McCarron, Thunderbird's, CEO; and Ms. Barb Harwood, Thunderbird's CFO. Ms. Twiner McCarron will provide a strategic overview of Thunderbird's Entertainment Group, and Ms. Harwood will review the company's Q1, 2023 financials. Following the corporate update and financial review, the call will open for a question-and-answer session.  Alternatively, if you have any questions you can call 1-604-683-3555 or email investors@thunderbirdtv and the company will follow-up directly after the call. At this time, all lines have been placed on mute to prevent any background noise. I'd like to remind everyone that certain statements made on today's call will be forward-looking and constitute forward-looking statements or forward-looking information under applicable security laws. Following forward-looking statements and information discussed on the conference call include, but are not limited to, statements with respect to the success of certain productions, the robustness of the production development slate, the ability of a company to maintain the infrastructure and people to capitalize and exploit future IP opportunities. The future potential of the current production, the company's objectives, goals or future plans, the likelihood that the company will continue to get bigger and better, and the business and operations of the company. Forward-looking statements aren't necessarily based on the number of estimates and assumptions that, while considered reasonable, are subject to known and unknown risk uncertainties and other factors which may cause actual results, and future events that differ materially from those expressed or implied by such forward-looking statements. Such factors include, but are not limited to general business, economic and social uncertainties, litigation, legislative, environmental, and other judicial regulatory, political and competitive developments. And those additional risks set out in the company's Management Discussion and Analysis  for the years ended June 30, 2022 and 2021, filed October 19, 2022, and other public documents filed on SEDAR at www.sedar.com. Although the company believes that the assumptions and factors used in - preparing these forward-looking statements are reasonable, undue reliance should not be placed on these statements which only apply at the date of this presentation. And no assurance can be given that such events will occur in the disclosed time frames, or at all. Except where required by law, the company disclaims any intention or obligation to update or revise any forward looking statements, whether as a result of new information, future events or otherwise, for your convenience, the MD&A and unaudited financial statements for Q1, 2023, which ended on September 30, 2022. And related news released our filed on SEDAR and are available online under the Investor section of our website. We do not expect to update forward-looking statements continually as conditions change. This conference call is being webcast live and the archives will be available on the company's website at www.thunderbird.tv following today's call. Please note that Thunderbird reports in Canadian dollars unless otherwise stated. Ms. Twiner McCarron will now provide the corporate update.
Jennifer Twiner McCarron: Thank you so much. My name is Jennifer Twiner McCarron and I'm the CEO of Thunderbird Entertainment Group. On behalf of the company I'd like to thank you for joining today's call to discuss our Q1, 2023 results, which ended September 30, 2022. Thunderbird's CFO, Barb Harwood is with me and we appreciate you joining us. Once Barb and I are finished, we'll be more than happy to answer your question. Of note, please note that we will limit questions today. And while we are prepared to answer any questions about the quarter and our outlook, we will not answer any questions about the proxy contest. As you know, we have postponed our Annual General Meeting, which was to have taken place on December 6, 2022 for everyone to properly consider the announcement by Voss around its nomination of a competing slate of Directors for election to Thunderbird's Board. The idea is that this will allow time for all shareholders to have all of the information required to allow them to assess the merits and qualifications of all Board Director nominees before going to vote. As Barb will discuss shortly, our revenue grew substantially in the first quarter from a year earlier. This is on top of a solid 34% increase in the fiscal year ending June 30, 2022. From a year earlier, with regard to the year, overall Q3 and Q4 of this fiscal year are forecasted to be our strongest quarters. When Barb is finished with the financial update, I will share updates that continue to build on the company's established track record of successful programming. As the company's CEO, I truly consider it a privilege and also my responsibility to work with and for all of Thunderbird's stakeholders, employees, leadership, all clients, all partners and our shareholders. While the company has entered into - public proxy fight unfortunately, I do want to emphasize that I remain so committed to leading Thunderbird's growing team of 1,400 employees across four cities with the same enthusiasm in our efforts to create meaningful content that informs, inspires, educates and provides a hopefully a happy escape for people. Now that's needed more than ever. We are continuing to focus on running a very healthy growing company and demand for Thunderbird's A+ high-quality content remains higher than ever. Over to you Barb.
Barb Harwood: Good morning and afternoon everyone, depending on where you are, and thanks for joining us today. Here are the highlights of Thunderbird's Q1, 2023. As Jen mentioned, the company recognized revenue of $43.7 million in the three months ended September 30, 2022 an increase of 25% or $8.6 million over the comparative quarter. Both the number of episodes of IP projects delivered and recognized and the number and magnitude of production services project increased quarter-over-quarter 45 total half hours of IP deliveries in the current quarter compared to 32 total half hours in the prior year's first quarter. Production Services revenue for Q1, 2023 increased by 19% or $4.7 million over the comparative quarter due to an increase in the number and size of contracts. Its revenue consists primarily of animation production services, which experienced continued growth. Projects with significant revenues during the quarter include Princess Power and Marvel's Spidey and His Amazing Friends. Licensing and distribution revenue, which is our owned-IP increased by 47% $4.2 million for Q1, '23 over Q1, '22 mainly due to the delivery of six episodes of the scripted series Reginald the Vampire, seven episodes of the scripted series Strays Season 2, and 13 episodes of three unscripted series Gut Job, Deadmanâs Curse both in their first season and Highway Thru Hell Season 11 in the current quarter,. In the comparative quarter 10 episodes of Season 1 of Strays and 11 episodes of Highway Thru Hell Season 10 were delivered. Library sales which are both sales of Thunderbird's owned-IP after the initial window and third-party distribution remained consistent for the three months ended September 30, '22 compared to the comparative quarter. Gross margin, which represent total revenue less total direct operating costs was $9.5 million for Q1, '23 compared to $10.2 million for the comparative quarter a $700,000 decreased, gross margin percentages for Q1, '23 was 26.6% compared to 29.2% for the comparative quarter. The decrease in gross margin and gross margin percentage is attributable to the different genres of IP series recognized in the quarter, which vary in their gross margin profiles, as well as timing of production service scheduling, and the jurisdiction where the service work is being undertaken. Typically the margins on production service work are less at the beginning and end of a series cycle when there is less labor driven tax credits to accrue against the production costs. Adjusted EBITDA decreased 35% from $6.3 million to $4.1 million quarter-over-quarter. The decrease is attributable to the recognition timing of IP series mentioned before, and production service scheduling mentioned with respect to gross margin. Additionally, with talent at a premium become key continues to invest in retention and hiring of key employees and software and technology upgrades to deliver industry leading quality programming that will further facilitate long-term growth. And now Jen will take you through some corporate updates.
Jennifer Twiner McCarron: Thanks Barb as of September 30, 2022, the company had 20 programs in various stages of production for 17 clients of the 28 programs in production 10 were Thunderbird IP, and 18 were service productions. Two of the productions that are recognized as service are actually partner managed, where the productions are fully funded by the partner with an increased profit boost and a piece of the back end and entirely managed by Thunderbird. As a result, Thunderbird is entitled to receive a percentage of the net profits from merchandise and licensing across all cross media exploitation. At the end of Q1, 2023, the company was in various stages of production on 18 animated series. These programs include Oddballs for Netflix, which was one of the most successful launches for our company and continues to remain in the Top 10 of all kids programming. Molly of Denali, Season 2 for GBH and PBS, CoComelon Lane for Moonbug for Netflix, Young Love for Sony and HBO Max, Teenage Euthanasia Season 2 for Adult Swim, and Little Demon for FX Network among others. Princess Power, a partner-managed production for Netflix that Atomic developed with Allison Oppenheim, Savannah Guthrie and Drew Barrymoreâs Flower Films, was announced. This production optioned and developed by Atomic and we have a very healthy piece of the back end. Subsequent to the quarter, the National Academy of Television Arts and Sciences also referred to as a NATAS unveiled the nominations for the First Annual Children's and Family Emmy Awards. And we are incredibly proud that two of our shows received not PBS Kids series Molly of Denali, produced by GBH with Atomic Cartoons, received two Children's and Family Emmy nominations. This series is nominated for Outstanding Animated Preschool Series and Outstanding Writing for a Preschool Animated Program. Atomic produced LEGO Star Wars Terrifying Tales also received a Children and family Emmy nod for outstanding sound mixing and sound editing for an animated program. Congratulations to our partners at LEGO and Lucasfilm and sound masters at Skywalker Sound. We could not be more proud of all of these amazingly talented teams. Children and family content represents the fastest growing genre for NATAS with a 23% increase in the last two years. We are thrilled to see these additional categories of recognition which further highlight an area of the industry that is experiencing unparalleled growth. We are also excited to share smart technologies announcement that our IP series THE LAST KIDS ON EARTH, which was produced by Atomic Cartoons, and based on Max Brallierâs best-selling novels has been licensed for a digital battle-card game. THE LAST KIDS ON EARTH hit the deck will be made available for free to U.S. schools with SMART boards and will also be available for purchase by consumers in early 2023. Shifting focus, the company was in production on six unscripted series and one documentary, Mud Mountain Haulers Season 2, Highway Thru Hell Season 11, Heavy Rescue: 401 Season 7, Deadmanâs Curse Season 1, Styled Season 2, Dr. Savannah: Wild Rose Vet Season 2 and After the Storm, a documentary based on the 2021 flooding in B.C., which will premiere on December 15, 2022. And on our scripted side, the company was working on Strays Season 2 and Reginald the Vampire both of which premiered this fall. Great Pacific Media also announced that it teamed up with Wattpad Webtoon Studios and began production on a young-adult film called Boot Camp based on Gina Musaâs hit global Wattpad novel of the same name. Great Pacific Media acquired the film and television rights to this coming of age story based on the web book, which has over 26 million reads. We will let you know when you can look for it in an upcoming movie of the week, and we're very excited about it. In fiscal 2023, Q1, we continue to execute on the company's long-term growth strategy to create, own and distribute award winning content, which is anchored by a reputation for producing a broad range of A+ content that streams and is broadcasted on a diverse portfolio of platforms, from PBS to Netflix, Disney Junior to Discovery Canada and CBC, plus so many more. We have great relationships with our clients and our teams are not only talented, but also known for their commitment to excellence. And the team's approach drives us forward from a 30,000 foot view, there are so many exciting things going on at Thunderbird. Our development slate is robust and exciting and full of possibility with the exciting kids and family unscripted and scripted productions that we are exploring. While we often need to wait to share updates on shows and development until we have something tangible and concrete, I would be remiss if I didn't share that there is a ton of positivity and excitement around the work we are doing and great potential. When I think about where we've come from and where we're going. I'm filled with optimism for everything that we're doing. The Thunderbird story is only going to get bigger and better. Before starting our Q&A, I do want to underscore Thunderbird's commitment, and the leadership team. We work for all stakeholders. We truly want to hit this out of the park for everyone, and believe that empowering the entire team drives and produces the best results for everyone. Thank you so much to all of our stakeholders for investing your time, talent, energy, and dollars into our story. We are also going to be hosting a webinar with our IR from Bristol on December 14. This will be hosted at 2 PM Eastern or 11 AM Pacific. And we'll have an updated deck. And stay tuned for more information about that webinar. Now Barb and I are pleased to take any questions that you may have.
Operator: Absolutely.  The first question comes from the line of David McFadgen with Cormark Securities. You may proceed.
David McFadgen: A couple of questions, so first of all when you talk about the latter half of this fiscal year being your strongest quarters, does that - are you talking about EBITDA, revenue or both?
Jennifer Twiner McCarron: Both I would say Barb, do you want to add to that?
Barb Harwood: Yes, I would say EBITDA.
David McFadgen: EBITDA okay. Care to saying that above 30% of EBITDA will come in the back half or 70% EBITDA will come in the back half. I know you don't like to give guidance, but I was just wondering if you can give any clarity on that?
Jennifer Twiner McCarron: No, I'm afraid not. Sorry, David.
David McFadgen: Okay all right, no problem. So I mean, it hasn't been that long since the fourth quarter conference call. But I was just wondering, have you noticed any change in the demand for your services given that - seems like we're going into a tougher economic environment here I was just wondering, has there been any change or still pretty much the same?
Jennifer Twiner McCarron: No, we haven't noticed any you know, we're still definitely a studio that's in demand, because of the amazing talent here and the type of major brands that we're working on. Most streamers, buyers are generally looking for a hit. What we have noticed in, you know, delays for green light, like people are holding on to things a little bit longer as they search, you know, to make sure they're doing a lot of testing to make sure that they've got that hopefully the right mix for a perfect hit. Again, buyers are focusing less on quantity and more on quality and not push, what we're observing is a lot longer lead up time to get going.
David McFadgen: Okay, okay. Okay, that's it for me. Thank you.
Jennifer Twiner McCarron: Thank you, David.
Barb Harwood: Thank you.
Operator: Thank you. The next question comes from a line of . You may proceed.
Unidentified Analyst: Yes, thank you. What do you think needs to be done to get the company to at least break even or make a decent profit? What changes do you have in mind in terms of product mix in other areas that would be helpful in that realm?
Jennifer Twiner McCarron: Barb, do you want to address the financial and then I'll get into the qualitative?
Barb Harwood: Yes, we're often based on adjusted EBITDA and our adjusted EBITDA has been very strong. Since we went public, we've been increasing our adjusted EBITDA by over 30%. And so, when you mentioned breakeven, we often look at adjusted EBITDA as the measurement that everybody else looks at and that has been incredibly healthy.
Jennifer Twiner McCarron: Yes, and we are also have no debt and are cash flow positive. So I'm not sure I understand what financial metrics you're looking at to wonder about breaking even Michael.
Unidentified Analyst: In terms of making a profit, the company is not profitable, as measured by standard accounting metrics?
Jennifer Twiner McCarron: Okay, well, I think the metrics by which we've been holding ourselves to our positive, but certainly if you want to set a maybe a follow-up separate call, we can walk through the financials with you. With regards to the qualitative, you know, we are continuing to focus on owned-IP that we can lift and monetize on our own. We are continuing to expand in our service work, working with great clients and great brands. We are looking to, move our factual division more U.S. facing, we have started a premium scripted division for which there's, you know, some good news. So taking to the core of our business, which is to create high quality premium content, and then continuing to seek and be successful in all ways of monetizing that content.
Unidentified Analyst: Thank you very much, and have a Happy Thanksgiving.
Jennifer Twiner McCarron: You too Happy Thanksgiving, thank you for calling in.
Operator: Thank you. The next question comes from the line of Adam Wilk with Greystone. You may proceed.
Jennifer Twiner McCarron: Hi Adam, how are you?
Adam Wilk: I'm doing well, thanks. How about yourself?
Jennifer Twiner McCarron: Good. Thanks for calling in and good to hear from you.
Adam Wilk: Yes, thank you very much for taking my question. I really appreciate it. I joined late, so I apologize if this was already covered. But were you guys able to comment on the situation with Voss Capital and the notice they sent given the stock sort of continues to languish, despite the fact that you guys are executing really well? I'm wondering if there's a way maybe, for you to work with them on driving shareholder value through a transaction or capital market events in the near term, or I just love to kind of hear how you're thinking about that. And also be happy to follow-up offline as well?
Jennifer Twiner McCarron: Absolutely, Adam, right now leadership, we're taking the position to just you know, as a leadership team really focus in on just trying to continue to run healthy operations are my view our leadership really to focus and I'm just trying to continue to run healthy operations. My view - our view is that we work for all shareholders equally. And so, we are trying to hit it out of the park equally for all shareholders. And right now, I believe the best piece of management's time is just to continue to focus on the work. Certainly, we'd like to see everything resolved as quickly as possible, because it is, we don't want anything to ever hurt, hurt the business. But that's sort of the blanket statement I hope that's acceptable to you.
Adam Wilk: Sure, yes I appreciate it. And thanks for taking my question that's it for me keep up the good work.
Jennifer Twiner McCarron: Okay, thanks for calling in Adam. Appreciate it.
Operator: Thank you.  The next question comes from . You may proceed.
Jennifer Twiner McCarron: Hey, Collin, how are you?
Unidentified Analyst: Good, I'm doing well, thank you. I won't wish Canadians Happy Thanksgiving, but you can celebrate abroad with us.
Jennifer Twiner McCarron: We celebrate our U.S. friends.
Unidentified Analyst: All right, great. A couple questions, first one was on maybe just any more color commentary you could give on your IP pipeline. I know, you all have been hesitant in the past to talk about things that aren't already sold or already delivered and can't announce shows that buyers haven't announced themselves. But I feel like it's still a bit hard to tell from - the slide deck from any of the commentary, what you expect to be hitting over what period of time, maybe I'm foreshadowing the December event?
Jennifer Twiner McCarron: I think you are.
Unidentified Analyst: But I'm also worried that the December event becomes the January event or the March event or the June event. So I don't know there's anything you could say today, maybe just don't want to, you know, speak too soon, if you're going to do some event, but just wanted to clarify, if you can say something?
Jennifer Twiner McCarron: Definitely, so we do to your point, Collin hope to provide more clarity at the December webinar. We're working with all of our partners, oftentimes we never want to hurt a project that's getting lifted by speaking ahead of it. And then our partners don't want us to do that. I can say that we had what, you know, our most successful outing to MIPCOM in October, which the main focus was lifting, selling our own IP. So that's, you know, that was a really exciting market. And again, we're going to work really hard, even with everything going on to keep that December 14 date, and hopefully be able to provide a little bit more visibility at that time. Because you know, it's a fine dance between wanting to manage all of our shareholders and communicate the work and then not ruin getting the work lifted by upsetting any of our buyers, which I'm sure you can understand.
Unidentified Analyst: Sure, well look forward then to maybe some more information in December, I think it's valuable for shareholders to get a better understanding of how you expect IP, Atomic IP at least I know, you have lots of Great Pacific Media IP, but Atomic IP to start to flow into numbers. And what's potentially - what else potentially in the pipeline?
Jennifer Twiner McCarron: Absolutely.
Unidentified Analyst: The second question, maybe for Barb and I know you guys don't like to guide, though I'll ask in a different format. But I think it's obviously impressive top line. But if we look at production services, gross margin for the quarter, it's probably the weakest I've ever seen? And maybe you could just help everybody understand some of the puts and takes there, why that happens, and how you might expect it to ramp back up if it does ramp back up, because it's kind of that's the question about profitability. That numbers really hard to understand what the flows are there and I think there's been a lot of investments. So maybe you could just give a little more color on what we're seeing happen to that margin?
Barb Harwood: Yes, you bet. Hi, Collin, there's, a couple of things happening there. The first is that - the gross margin profile of some of the production services shows, it's kind of like a bell curve. So as you start or end, a show, the gross margin is much lower than it - where it is in the middle. And the reason that happens, especially at the beginning is we do a lot of sort of the pre-production work or early production work in the U.S. where we don't get tax credits on it. So we are not accruing tax credits against the cost bringing the cost down at the beginning of month, many of our shows. So that's kind of a timing issue. When the shows are, like I said, when the shows are at the beginning or the end, the gross margin profile is going to be a lot different and depending on where we're performing that work. The second thing is that we've talked about the you know, in the last couple of quarters, the investments we've made in retention and key production hires and software and technology, to help us become more effective and maintain our competitive advantage and some of the - some of the compression in the gross margins quarter, you know, this quarter compared to last quarter is due to some of those costs being moved up to direct costs. So it's a combination of a couple of things. Does that make sense?
Unidentified Analyst: It does, and on the timing of, I guess recognizing the cost, I think you've historically talked about services being a percentage of completion type accounting metric, I would think that you'd actually be smoothing out investments, along with revenues being recognized on those investments. But is there some - something particular about the investments you've made where you're starting to expense investments ahead of revenue generated from those investments?
Barb Harwood: Yes again, it's two things in a sort of vacuum, you would expect percentage of completion to maintain the same level the whole time, but it does fluctuate, because I said, the, the jurisdiction makes such a difference. We can't pre-accrue tax credits that reduce our costs until the Canadian Labor kicks in, and the Canadian Labor is out its high point in the middle of the production. So that's where you're going to get sort of the top gross margins. And then overall, the same 18 months that the production is in place, there's sort of an average gross margin. The other thing is, is some of those costs, to your point are sort of pre-spent, to help them get the production in place. So it's not any one thing. It's sort of a portfolio thing.
Unidentified Analyst: Would you expect the production services margin to improve throughout the course of the year?
Barb Harwood: Yes, yes we seen in the past that it has sometimes it's just, it's a point in time that, you know - makes it fluctuate like that.
Unidentified Analyst: Okay. And then that last question on G&A. This is, I'm sure related to the investments, but G&A, looking at salaries and office and legal is, I think it was up something like 37%, this quarter, it's been running up 20 in the 30s, or high 20s so this will be the fourth quarter. Is that that - now be like a year of much higher growth in G&A? Is that something you expect to temper over the course of the year as you start to lap some incremental investments you've been making over the last six months or nine months? The growth rate itself, not the dollars of G&A but starting to see that G&A increase 12?
Barb Harwood: Yes, I would think, though, like we I mean, you know, we've had such a massive increase in the past two years. And now - we're catching up kind of thing. And making sure that we have the right teams in place and the right talent in place to continue to deliver what we've been delivering and grow beyond that.
Unidentified Analyst: Okay, maybe one last question. There's more info in the disclosures now, which is great. And you broke out partner managed within services revenue. And that was down year-over-year. Is there a, you know, another partner services project to replace with rolling up currently? I assume something is rolling up given just the dollars the revenue dollars are down significantly year-over-year?
Barb Harwood: Yes, that's some there are ones and again, some of the ones that I mentioned earlier, when David McFadgen was asking about the state of the market. We've got contracts, it's just the pause to start, as there's more testing happening, just to try and shape the creative into - a big hit.
Unidentified Analyst: Got it, well great, thanks for taking.
Barb Harwood: But there are - coming up.
Unidentified Analyst: Okay well, maybe we'll learn in December and I guess?
Barb Harwood: Yes.
Unidentified Analyst: I got the last question. I know, you're willing to give guidance - I think you told us at one point that fiscal year. I always forget what year we're in giving the reporting fiscal year '22 was a build year for Thunderbird and it was build year though impressive revenue growth, and still managed some EBITDA growth, but not much is, you know, how do you - characterize fiscal year '23?
Barb Harwood: You know '20, I think we're ramping up towards '24, which is our big star in the sky. But we're continuing a very healthy trajectory is what I would say.
Operator: Thank you.
Jennifer Twiner McCarron: Did we lose everyone, okay. Thanks, operator.
Operator: The next question, you're welcome. The next question comes from the line of  I'm sorry. You may proceed.
Unidentified Analyst: Thanks for taking the question. Just a quick follow-up on the margin question, is the Canadian dollar versus the U.S. dollar is there an obvious net effect strong dollar, you know, weak? I mean, I'm just trying to figure it out. If the change is in your mix of production across the border they have alluded to have altered that or if there's some kind of natural hedge in terms of your sales versus costs?
Jennifer Twiner McCarron: Yes, there's often somewhat of natural sorry, yes, there's often somewhat of a natural hedge, because a lot of our contracts are in U.S. dollars. And we do have the LA studio obviously, which is U.S., U.S. dollars. And then we always budget, on an estimated exchange rate, and then try to hedge that as much as possible with the timing of the customer payments and things like that. It doesn't really have anything to do with the margin though on it. That's, that's more of where the work is being performed and the timing of the, the timing of the production.
Unidentified Analyst: Okay, so there's no, it's not like, you would have a sense that a stronger Canadian dollar would necessarily be a major detriment to the business?
Jennifer Twiner McCarron: No.
Unidentified Analyst: Okay.
Barb Harwood: Now, oftentimes, we do benefit sometimes, you know, when the Canadian dollar is a little bit weaker with all of our U.S. clients, because we lock in at a rate.
Unidentified Analyst: Got it, thank you.
Jennifer Twiner McCarron: Thank you for calling in.
Operator: Thank you. This concludes our call today. If you have any questions, please call 1-604-683-3555 or email investors@thunderbird.tv. Thank you.
Jennifer Twiner McCarron: Thank you.